Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Harris Earnings Conference Call. My name is Janeda, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Pamela Padgett, Vice President of Investor Relations. Please proceed.
Pamela Padgett: Hi. Good morning, everyone, and welcome to our Fourth Quarter Fiscal 2012 Earnings Call. I'm Pamela Padgett and on the call with me today is Bill Brown, President and CEO; Gary MacArthur, Senior Vice President and Chief Financial Officer; and Dan Pearson, Executive Vice President and Chief Operating Officer. Before we get started, a few words on forward-looking statements. In the course of this teleconference, management may make forward-looking statements. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information and a discussion of such assumptions, risks and uncertainties, please see the press release and filings made by Harris with the SEC. In addition, in our press release and on this teleconference and the related presentation, we will discuss certain financial measures and information that are non-GAAP financial measures. A reconciliation to the comparable GAAP measures is included in tables of the press release and on the Investor Relations section of our website, which is www.harris.com. A replay of this call will also be available on the Investor Relations section of our website. And with that, Bill, I'll turn it over to you.
William M. Brown: Okay. Well, thank you, Pam. And welcome to our Fourth Quarter Fiscal 2012 Earnings Call. I'll begin today's call by turning to Slides 3 and 4 in the presentation. Harris fourth quarter results represented a solid finish to fiscal 2012. Revenue was $1.4 billion. Non-GAAP income was $162 million and increased 4% over the prior year even though revenue declined by 6%. Operating income was higher in all 3 segments as a result of our productivity and cost-reduction initiatives. Non-GAAP EPS of $1.42 was up a strong 15% compared to $1.24 in the prior year, reflecting higher operating income and share repurchases. In addition, cash flow was particularly strong in the quarter and resulted in record free cash flow for the year. Our new wins and orders in the quarter were encouraging as we enter fiscal 2013. Total orders in the quarter were higher than revenue and increased in all 3 segments. Although total revenue declined as expected due to lower revenue in Tactical Communications and IT Services, we are gaining traction in each of our growth initiatives. Public Safety and Professional Communications continued along its strong growth trajectory and was up 12% in the quarter. In CapRock, demand was strong for satellite communications solutions, with revenue up 8% and orders up solidly double-digit over the prior year and also significantly higher than revenue. In Healthcare Solutions, revenue increased 69% off of a relatively small base driven by excellent momentum in government healthcare where funding remains solid. In Tactical Communications, we're managing through a transition in the U.S. DoD market from one previously driven by OPTEMPO to a modernization cycle driven by wideband technology where we're the clear leader and where we continue to win on innovation and affordability. In government communications, continuing strong execution is generating solid operating margins, with sales to the classified community and civil customers like the FAA offsetting weaker DoD customer spending. For the full fiscal year 2012, orders were $5.48 billion, up 8%, and revenue was $5.45 billion, up 1% over the prior year. Although non-GAAP income from continuing operations was down 5%, non-GAAP earnings per share increased 4% to $5.20. Overall, company results for the fourth quarter and full year demonstrate that our strategy for creating value in a tough government spending environment is working, successfully execute in our core businesses and in our growth initiatives, drive operational excellence to lower costs across the company, generate higher free cash flow and return capital to shareholders through share repurchases and dividends. I'll turn it over to Gary to comment on segment results and guidance outlook, and then I'll come back with a few comments before we open the call to questions.
Gary L. McArthur: Thank you, Bill. And good morning. Moving to segment results on Slide 5. Revenue for RF Communications was $584 million compared to $628 million in the prior year. Tactical Communications revenue was $409 million, declining 13%. In Public Safety and Professional Communications, revenue growth was excellent, increasing 12% to $175 million. Operating performance for the segment was very good, with operating income increasing in spite of lower revenue. Lower manufacturing costs and operating expenses resulted in a higher operating margin of 33.5%, up from 30.4% in the prior year. Orders for the segment totaled $529 million and book-to-bill was 0.91. In Tactical Communications, orders were $356 million, backlog was $665 million and book-to-bill was 0.87. During the quarter, Harris was awarded a 5-year, $400 million IDIQ contract from the U.S. Special Forces Operations Command and received 3 orders under that contract totaling $120 million for Falcon III wideband networking radios. Harris was also awarded a 5-year, $26 million IDIQ contract with the JTRS JPEO to maintain and enhance the JTRS Soldier Radio Waveform, the SRW software, which resides in the JTRS library and was originally developed by the program of record. This award highlights our company's unparalleled engineering expertise in developing and fielding robust waveforms. The domestic 12- to 18-month opportunity pipeline remains healthy and well-funded at $1.1 billion. International orders in the quarter included $31 million from the Kingdom of Jordan for Falcon II and Falcon III radios for the next phase of their C4ISR system supporting domestic and international security missions, bringing orders to date for the modernization to $57 million. The opportunity could now reach over $150 million. International opportunities continue to be strong, and as of the end of the quarter, the 12- to 18-month opportunity pipeline remained at $2.1 billion. In Public Safety, awards included a contract with a potential value of $109 million, with a $32 million initial order from the San Francisco Municipal Transportation Authority to deploy a communications network that will increase operational efficiencies, improve safety and provide interoperability with public safety agencies. San Francisco MTA will be one of the largest transit LMR systems in the country and is a key win for Harris in the growing transportation segment, a target market for Harris. The 12- to 18-month opportunity pipeline for public safety stands at a healthy $2.9 billion. Turning now to Slide 6, in Integrated Network Solutions. Fourth quarter revenue decreased 10% to $379 million. Strong growth in Healthcare Solutions and CapRock was more than offset by declining revenue in IT Services. Non-GAAP operating income was $34 million, essentially flat with $33 million in the prior year as continuing strong improvement in CapRock was offset by operating income decline in IT Services. Operating margin improved from 7.9% in the prior year to 9%. In Healthcare Solutions, revenue increased 69% driven by government wins primarily under 2 IDIQ contracts known as T4 and EVEAH, which were awarded late last fiscal year by the VA to upgrade and streamline operations. For the year, Healthcare Solutions revenue increased substantially to just under $200 million. The commercial side of the healthcare business is still very much a work in progress contributing to a $5 million non-GAAP loss in the quarter for Healthcare Solutions. Significant integration actions were taken during the quarter to bring expense levels in line with anticipated revenue and we continue to expect Healthcare Solutions to be profitable in fiscal 2013. In IT Services, revenue declined from 2 programs, the Patriot program roll off and the completion of systems and network integration for the Army Materiel Command headquarters, driving most of the $82 million decline in year-over-year revenue. CapRock had another excellent quarter in orders, revenue and op income, ending the fiscal year with good momentum. As Bill mentioned, revenue increased 8% and orders were significantly higher than revenue. Integration has progressed well, driving improved operating performance, with CapRock achieving double-digit operating margin. During the quarter, CapRock was awarded significant new wins in the growing maritime market, including a 5-year contract with Royal Caribbean and a 5-year contract with a customer in the Asia Pacific region covering up to 2,000 commercial vessels. Moving to Slide 7. Revenue in government communications was $497 million, as expected, about flat with the prior year. Year-over-year revenue increases from the GOES-R weather program, NASA's Space Network Ground Sustainment program and classified programs were offset by lower revenue from defense customers. Operating income was $66 million compared with $63 million in the prior year. Operating margins increased from 12.7% to 13.3%. Harris was awarded a significant new win in the commercial space area, a 5-year contract to supply 81 ADS-B receiver payloads to be hosted on the Iridium NEXT constellation. We believe that the market for commercially hosted payloads over the next 5 years could potentially be $250 million. And this recent win will be the largest implementation to date. Let me now talk about the financial highlights and guidance. Turning to Slide 8, fiscal 2012 was another solid financial year for Harris. Operating cash flow in the quarter was $370 million compared to $276 million in the prior year. Free cash flow in the quarter was also strong at $311 million, more than double the $147 million in the prior year. For the fiscal year, operating cash flow was excellent at $853 million and free cash flow at $619 million, a record for Harris, was much higher than $508 million in the prior year. All 3 segments generated positive operating cash flow and free cash flow for the quarter and the year. Capital expenditures were $59 million for the quarter and $234 million for the year. Our effective tax rate for the quarter was 33.9%, and for the year, it was 33.1%. Moving to Slide 9. Fiscal 2013 guidance is unchanged, with total Harris revenues still expected to be flat to 2% higher than fiscal 2012 and EPS in the range of $5.10 to $5.30. As we mentioned in June at our Investor Day, we expect the first quarter to be weaker, as compared to the prior year first quarter, due to lower sales and income in Tactical Communications and IT Services. We still expect the rest of the year to be in line with or higher than the prior year. Guidance does not reflect any potential impact from sequestration. In the segments, guidance for RF Communications and government communications is unchanged. In Integrated Network Solutions, we expect fiscal 2013 revenue to be 4% to 5% higher compared with the prior year versus the 3% to 4% previously expected and operating margins still in the range of 8% to 11%. We continue to expect the full year tax rate to remain at 33% in fiscal 2013 and free cash flow in a range of $595 million to $665 million, the components of which are set forth on the slide. With that, let me turn it back to Bill.
William M. Brown: Thank you, Gary. Our outlook for fiscal 2013 reflects what we believe will be another solid year in a challenging environment. We believe that the technology and innovation we bring to the marketplace are well aligned with our customers' spending priorities. Communications and ISR capabilities that we provide will allow the government to do more with less, and we provide those capabilities in more affordable solutions than our competitors. We are being smart about reducing costs and improving productivity so that we can continue to invest in R&D and the long-term success of our businesses, while at the same time driving value for shareholders by generating solid earnings and cash flow. And now we'd like to ask the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Carter Copeland with Barclays.
Carter Copeland - Barclays Capital, Research Division: Just I wanted to ask a question about the budget, the backdrop, sequestration, whether or not the guidance contemplates a CR and just, in general, Bill, how you're feeling about the relative risks around sequestration in the various business units, areas where you think there could be an impact there based on different contract structures, things that are incrementally funded. Any color you can provide on how you're planning and thinking about that outcome, should we actually see it, would be helpful.
William M. Brown: Sure. Well, first of all, as Gary mentioned, we do not contemplate sequestration in the guidance that we have given, but I think and that we all believe that a CR is a virtual certainty, much like it was last year. And that's going to provide in our fiscal second quarter some choppiness, I'd say, based on where our customers will end up deciding to shift some funding and what happens as we enter the start of GFY '13 under a continuing resolution. We're looking at a variety of scenarios in our business, much like everybody else's across-the-board 10% sort of bottoms-up programmatic type reductions. But based on little to no feedback from our customers on what they see happening and guidance from them as to what we should be contemplating, it's really a little bit premature for us to give us -- to give any sort of sense or guidance as to the impact of that going into fiscal year '13 or our fiscal year '13. That being said, we're not a big-platform player, Carter, as you know very, very well. We see the things that we do very much aligned with the DoD priorities of special operations, C4ISR solutions. And so we feel, versus – and relative to other players in the aerial defense industry, that we're going to be less impacted, though certainly not un-impacted, by a sequestration.
Operator: Your next question comes from the line of Joe Nadol with JPMorgan.
Joseph Nadol - JP Morgan Chase & Co, Research Division: My question is on INS and sort of on all the things going on there. Could you guys comment on -- it looked to me like your charges in there, your non-GAAP adjustments, were a lot higher than what you had suggested it would be last quarter, for the year. So can you talk about what's going in there and what the outlook is there for those adjustments for FY '13? Also, any update on the broadcast divestiture?
William M. Brown: Okay, good. Thank you, Joe. Well, first off, you're exactly right. Last time we spoke, in the last call, we gave some guidance around $0.25 a share as the integration expenses for integrating both Carefx as well as the suite of companies that we now call CapRock, so it's CapRock, Schlumberger, Core180. And in the reported results, it was $0.40 so it was $0.15 more. That's going from about $42 million to $58 million or $60 million higher in the fourth quarter than we would've indicated at the end of the third quarter, and that is investment in integration of both the CapRock franchise and Carefx, a little bit more on Carefx than on CapRock. We saw some additional opportunities. We've seen our profitability in the healthcare franchise not be what it is, or what we think it could be or should be, and we took some tougher actions in the quarter to drive profitability and achieve our targets longer term. I recall in -- back in early June when we talked about -- at our Investor Day, we talked very -- about very significant improvements in FY '13: 400 basis points of margin improvement in CapRock, driving healthcare from a deep loss to profitability in '13. And we're thinking we -- we think we've taken the actions we need to take to position ourselves for success in '13 and beyond. As you know, any further charges won't be absorbed below the line. It will be directly in our reported GAAP income and -- but we think a lot of the activities, a lot of the costs are now behind us. Going into BCD, we've just initiated the process. We're out in the marketplace with offering materials. The response so far has been very, very good. We expect bids in the next few weeks and we'll expect to conclude a transaction by the end of the year as -- end of the calendar year, as we’ve said last time, and we're on track for that.
Joseph Nadol - JP Morgan Chase & Co, Research Division: Are you ready to give any further color on what the proceeds might be, or is it still too early?
William M. Brown: It still very, very early, Joe. And I think, more than likely, we'll wait until we actually get a deal done in order to give some color to investors around proceeds.
Operator: Your next question comes from the line of Noah Poponak with Goldman Sachs.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Can you walk us through the small increase in the growth rate expectation for next year at INS? And in doing so, can you just touch on the degree of confidence you have that you've captured all the risks in the IT Services component, where you cited some downward pressure in the quarter and we're seeing similar trends really across the contracting community?
William M. Brown: Yes. I mean, first, we went from what was 3% to 4% growth in INS next year to about 4% to 5%, so it's about 1 point improvement. And the reality, Noah, came more from a reduction in our actual fiscal '12 revenue, as opposed to sort of increase in revenue in fiscal '13. We held our revenue in '13 because we were confident that we can achieve those numbers going into next year. So that's what really drove it up by that 1 percentage point, which, in context, is about $15 million, so it's not that material. In fiscal year '12, as you know, we saw CapRock and Healthcare Solutions well more than offset the reduction -- the decline in IT Services. We see -- going into '13, we expect very solid growth, in both CapRock as well as in Healthcare Solutions, at or more than market growth rates and we laid that out in our Investor Meeting early in June. And we do expect that, that is going to more than offset a flat to down IT Services market. Clearly, the environment on IT Services today is pretty tough. And we do see the roll off of the Patriot laws that happened early in 2011 -- or late in fiscal 2011, and that's going to continue to roll off with the first and second quarter of fiscal '13, so -- but if you remember, we took our margin guidance down on IT Services in early June by about 200 basis points. So it's not a very profitable business so big moves in IT Services, up or down, won't affect our overall profitability in -- at Harris that much.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And then at RF, Bill, you talked about in the Tactical Communications side the transition from an OPTEMPO-funded environment to a modernization-cycle-funded environment. How are you comfortable that the small revenue decline you're guiding to next year captures the risks associated with that transition where presumably the customer is moving from, "Give it to me now as fast as humanly possible under any circumstance," to maybe being able to be more patient with the pace at which they procure and particularly so given the pressure on the overall funding environment.
William M. Brown: Maybe I'll say a couple of words and then ask Gary to jump in on this. Just in terms of our confidence on U.S. DoD tactical going into next year, we see today about 70% to 75% of the revenue that we're projecting in FY '13 is either in backlog or has been appropriated in GFY '12 or prior budgets, a little less than what we had thought before, it was about 80%, because we did a little bit better in Q4 in that particular business. So that's a little bit softer going into next year. Typically, we see 80% to 90% of our backlog at the end of the year convert in the following year at about 55% to 60% of new orders convert within a year. It's a little bit different going into next year. Pretty much, it's going to be consistent with FY '12. We see a little less backlog conversion -- a little more expectation of conversion from new orders over the course of '13. So a little more order and ship relatively quickly going into GFY -- into our fiscal year '13 than I think we've seen historically. I don’t know, Gary, if you want to offer comment?
Gary L. McArthur: Yes. I'll just go to the kind of high-level things, Noah, that are helping us, giving us more comfort. Obviously, we're very early in the transition from -- moving from narrowband to wideband networking capabilities. We're looking at a commitment from the army to open and competitive procurement, which we think bids well for us, as well as -- SOCOM is going to have increasing importance and we're very competitively strong there. So that's all the points Bill mentioned. And if you look at the macro trends of what's going on with this movement to modernization, I think it gives us comfort that we've got it pegged about right.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Great. And then I'm just going to sneak in one more quick one. The healthcare move to profitability next year, what's the quarterly cadence of that through 2013?
William M. Brown: I don't think we're going to provide any sort of quarterly guidance on healthcare. But if you run the numbers from FY '12, we had a pretty deep operating loss in that segment, and we will drive it to profitability over the course of next year.
Noah Poponak - Goldman Sachs Group Inc., Research Division: But losing -- presumably still losing money in the first half before making money in the second, generally as a trend line, versus kind of flat lining through the year?
William M. Brown: Again, I'm not sure we're going to provide -- in fact, I know we're not going to provide quarterly guidance. But that would not be an unfair assumption. But Noah, it'll be profitable in FY '13.
Operator: Your next question comes from the line of Pete Skibitski with Drexel Hamilton.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Just a follow-up on the tactical radios. Can you tell us, Bill, how much domestic was down for the year and then how much international was up and then maybe your expectations for those in fiscal '13?
William M. Brown: Okay. Just really going into fiscal '13, we see the Tactical Communications business being down mid- to high-single digits, pretty much in line with what we had said before, early in June and, I think, at the last call as well. What that means is the U.S. DoD will be down in the mid to high teens, with international being up mid-single digits. Gary, you want to maybe just say a word on '12 and the actuals in '12?
Gary L. McArthur: The actuals in '12 with regards to where we come out was, I think, on the revenue line, we ended up being around 51% coming from U.S. DoD, 49% of revenue coming from international. Orders were higher international than domestic. And then in '13 we do expect that orders will be -- orders and revenue will both be higher than -- in international than in domestic. I think that's about as much color as we want to give on '12 on the international and the tactical U.S. DoD side.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay. Are you guys factoring in any kind of wins on some of these competitions like MNVR and some of the other ones that are out there?
William M. Brown: Well, so far, we've won the GMR MNVR requirement for Capability Set 13 and that was won at the early part of fiscal '12. And -- but the MNVR RFP still isn't out. It's coming out in August. We'll have a solution, we'll bid for it and we think we're going to be very, very competitive.
Operator: Your next question comes from the line of Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: As I recall, some of the turnaround that you expect in healthcare next year hinges on pretty important software update. I was wondering if you can update us on how that's going.
William M. Brown: Well, there's really a couple of things that are going to drive the improvement in healthcare going into next year. Part of it is just the savings that we're going to reap from some of the restructuring actions we've taken at the back end of fiscal '12, but there's -- beyond that, strategically, there's 2 things. One is there is going to be product upgrades, as well as important developments in the channel. On the product side, what we said last time is very much consistent today. Is that the market is still evolving, the needs of our customers are still evolving with that, and that's requiring us to do a bit more customization in our software product when we deliver to the customers, which is why we're losing money in that particular segment. Going forward, we're developing a software platform that is going to be a whole lot easier to customize or -- for a given customer situation, so we won't see that level of customization in the future, and that's progressing very, very well. And we're doing well rebuilding the indirect channel that we have in that particular business. So we're confident that we've got the right plan, the right people working on the initiatives to drive healthcare to profitability next year.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Good. And then just one more, if I could. We discussed sequestration earlier with respect to the DoD. I think most of us are pretty familiar with the dynamics potentially at work there. Can you talk about how your non-DoD business may be exposed to sequestration and how can we think about some of the potential risks there.
Daniel R. Pearson: Yes, it's Dan. It would be about the same. Again, all our customers are having the same degree of angst about what it is, what's the 10% cut. Clearly, we believe -- in some of our areas, if the guidance from OMB gives them some flexibility, we think some of the FAA work we do in the GOES-R work will be fairly well protected because it’s so mission critical. But in general, our customers similar to the DoD are still doing a lot of scenario planning, waiting to see what the guidance will come out and how it will play out from the government, so it's not much different.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: In terms of worst case, though, we should think of your -- the rest of your government business also potentially looking at a 10% to 12% cut or so?
Daniel R. Pearson: Well, I think -- and again, that's where the decision will come out from OMB, how they'll implement it. If they do a 10% to 12% across-the-board cut, it could be that we're -- bad if they go program by program. We don't personally think they'll do that, but again, my Ouija board is no better than anybody else's at this point.
Operator: Your next question comes from the line of Michael Lewis with Lazard Capital Markets.
Michael S. Lewis - Lazard Capital Markets LLC, Research Division: I wanted to ask a question about the recompete of NMCI, the next -- the NGEN program. I think it is your largest recompete. You do say that the sub [ph], from what I understand. And can we just get an update on the potential size and timing of this award?
William M. Brown: Well, on NMCI, we are the incumbent, so the slow environment in IT Services as a whole works in our favor because it just extends out the contract that we happen to have and it sort of preserves our earnings going into fiscal year '13. The RFP for the recompete was received in May. As you know, it's called NGEN. But the submittal time frame was delayed very recently by about 3 weeks to early August, so as we see it, it's pretty likely that there is going to be an award on NGEN much before March of 2013. So it's -- really, we don't see this NMCI recompete to have much, in fact, any impact on our fiscal '13 numbers. We think we're in a very strong competitive position in the things that we're bidding and we feel very confident that we'll come out on top in NGEN. In terms of the size, Dan, do you want to comment on potential size of the deal? I think it's going to be a little bit bigger than we've seen so far in NMCI.
Daniel R. Pearson: It's fluctuating around, let me just clarify a little bit. As Bill said, we are the current provider, the transport section for the NMCI program, HP EDS being the "prime." So there's 2 pieces, right, transport and enterprise. We have formed a team and we're priming the transport piece, it will be hundreds of millions of dollars over a multiple-year period. And we're on the CSC team for enterprise. So again from the perspective of what it would mean from us from a revenue perspective, it's about the same as it will be for NMCI to NGEN, maybe a little bit bigger, but it -- again, that's moving up and down.
Michael S. Lewis - Lazard Capital Markets LLC, Research Division: Okay. And actually, the longer it pushes out price, the better for you. One more quick question: Year-over-year growth in classified programs in GCS, can you rest [ph] on what that percentage was?
William M. Brown: I don't think we give detail down below GCS, but I would say that the early part of the year was quite strong and we ended pretty strong on the segment which we call national intelligence, which is primarily classified program. So overall, a pretty strong year, and we expect to continue the strong year in 2013.
Operator: Your next question comes from the line of Mark Jordan with Noble Financial.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: A question relative to the 2 IDIQs for development work under the JTRS program. Is it -- are you the only one doing that development work? And are you in essence doing the work that was previously doled out by the program of record office?
Pamela Padgett: Are you talking about GMR, Mark, the GMR program?
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Yes, well, the 2 that were referenced here, the $26 million and the Soldier Waveform software development.
Pamela Padgett: Oh, I see.
William M. Brown: Yes. SR -- for SRW, we are the integration contractor and the sole contractor for that right now...
Pamela Padgett: That was originally developed by the JTRS program and they've now turned that over to us.
Mark C. Jordan - Noble Financial Group, Inc., Research Division: Okay. Finally, could you update us on the status of the buyback activity?
Gary L. McArthur: Sure. This is Gary. In the quarter, we repurchased around 600,000 shares for roughly $25 million at an average per share price of $41.43. That brings the total share buyback to the year of 12.2 million shares, spending roughly $467 million at an average share price of $38.14. So in total for the year, we reduced our outstanding share count as of what was outstanding as of the beginning of the year by about 9.9%.
Operator: Your next question comes from the line of Josephine Millward with Benchmark Company.
Josephine Lin Millward - The Benchmark Company, LLC, Research Division: Can you give us a number for your total funded backlog? And since you saw nice orders growth, can you give us more color on where you saw strength and how you see that translating into fiscal year '13?
William M. Brown: I'm just looking at Pam. The -- we provide that in our 10-Ks, so I guess it's not an issue for -- with regards to providing the total funded backlog, Pam?
Pamela Padgett: Well, the one that we normally talk about is our RF backlog, which...
Josephine Lin Millward - The Benchmark Company, LLC, Research Division: But it's in the K, I can look it up. That's fine. I'm just looking for more of a breakdown by segment. Perhaps, you can talk about the major international RF opportunities that you're expecting to drive growth in the coming year?
William M. Brown: Well, okay. I mean, maybe I'll start with that while Gary and Pam are looking at -- looking for the funded backlog numbers. Just on the international Tactical Communications, we're coming off of a very, very strong fiscal 2012, with both revenues and orders growth being very strong for us. In fact, the revenues in Tactical Communications international achieved a record level in fiscal year '12 and both grew -- both revenues and orders grew solidly double digit year-over-year. So we're coming off of a very strong international tactical year that we had. We're very well positioned competitively. We're investing in lots of new products and capabilities to continue to grow the addressable market that we happen to have. We've got a very healthy pipeline, as Gary went through in his prepared remarks. The opportunities, though, will likely come in the tens of millions, not hundreds of millions like we saw with Australia this past fiscal year, that was unusually large. As we always say, the timing of these orders are very hard to predict. It's very, very lumpy. But we feel good about the pipeline. We see the political climate in Pakistan a lot better today than I would have said 6 months ago, but who knows what it's going to be in the next 6 to 12 months. So Pakistan is -- seems to be improving. We see opportunities in Iraq firming up. Gary referenced Jordan as some very good opportunities in the pipeline has come up pretty substantially since the last time we spoke and we've booked quite a bit of orders, about $60 million worth of orders that have been booked very, very recently. We also see good opportunities longer term in Brazil. It's progressing. We're still in the early stages, but we see good long-term growth opportunities in Brazil. And I'd say also Saudi and the UAE are both good opportunities for us over the medium term. So we feel good overall about the pipeline we have in international and those prospects which I just went through. So I don't know if you've got any perspective on the backlog or...
Gary L. McArthur: I do. Just again, these numbers are probably not totally final at the moment, but funded backlog is roughly $3.1 billion. And if I go to the components, it's roughly $1.3 billion at RF and roughly $931 billion at Integrated Network Solutions. And then at Government Communications Systems, it's $875 million.
Operator: Your next question comes from the line of Chris Quilty with Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Two follow-up questions on the CapRock business. First, with regard to integration. Can you give us an idea of how far along you're in that process? I think that was one of the more complex activities, putting GCS and CapRock together. And second of all, can you talk to us about the demand environment there and, I guess, specifically on the government side with increased government investment in the WGS program, how that might impact your demand for services.
William M. Brown: On the first one, I would say we're very deep in the integration process. If this was football season, I'd say we were deep in the fourth quarter, but we're not spiking the ball yet. We've got some things we're still working on, but we're pretty far advanced on integration. There's also going to be, longer term, clearly some things we're going to do to drive continuous improvement in CapRock that will help us extend beyond the 400 basis points of improvement we are expecting to see in fiscal year '13. So I think we're doing -- we're progressing well. There's more opportunity that still remains ahead of us. And I'll let Dan maybe comment on the government environment on CapRock.
Daniel R. Pearson: Chris, I think, with the WGS Ka service, obviously we'll keep an eye on that, as we will the commercial services. But again, for most of the applications that we have currently, the C, X, Ku still is clearly the mission-critical kind of things we still see driving our business.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And what do you see as the primary growth driver by end market as you look ahead into FY '13 or beyond, is it government, is it commercial or oil services?
William M. Brown: You're talking within CapRock.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Within CapRock.
William M. Brown: Yes, really, I think it's across all 3 of them. And we spent a fair amount of time talking about the strategy in each piece at the end Investor Day. The -- we know that the energy market is growing solidly double-digit and we feel good that we're at least holding our own, I would say, probably gaining share. Maritime is also growing quite a bit and we are gaining share in the maritime segment. We talked about and Gary mentioned again today about Royal Caribbean. You can imagine that when one very large cruise line operator goes to the type of a broadband capacity on a boat that Royal Caribbean is, it's going to spur other players in the industry to do the same thing. So we continue to be encouraged by opportunities in maritime. And Dan just spoke a bit about government. So Chris, really, all across 3, we see very good, strong opportunities.
Operator: Your next question comes from the line of Gautam Khanna with Cowen.
Gautam Khanna - Cowen and Company, LLC, Research Division: I joined the -- late in the call. It's -- so I apologize if you've covered this. But if you were to think about the M/A-COM business, the public safety business, is that still doing something in the order of 10% EBIT margins?
William M. Brown: We had a very strong fourth quarter. The margins were up hundreds of basis points and solidly above 10%, so solidly double digit, for the year, came in just below 10%. For next year, we think it'll be again just below 10% as we make some investments in LTE both in R&D as well as in sales and marketing expenses to position us for very good, strong top line and bottom life -- bottom line growth going forward. That being said, we still see that business to be sort of a low- to mid-teens business longer term on EBIT loss [ph].
Gautam Khanna - Cowen and Company, LLC, Research Division: Okay. And do you have any preliminary color on the DAB review of the JTRS HMS program that happened last week?
William M. Brown: Well, it's a very interesting series events, got them over the last couple of weeks, which as you would imagine we're following very, very closely, as a lot of other people are. We certainly respect the decision that Undersecretary Kendall made to do what's right for the war fighter, for the taxpayer, by not approving a radio that the Director of OT&E said wasn't ready for fielding. It shows, at least to us, a lot of integrity in the process. The decisions are being made when products are ready for fielding. And at the end of the day, that's what these NIEs really are all about, and it does show integrity in the process that's been laid out by the Undersecretary. We're encouraged by the comments that Secretary Kendall was making around competition. We think that's very encouraging like GMR, like the [indiscernible] handheld, like the SRW appliqué, like Rifleman Radio. We see HMS is also going to go strongly towards open competitive environment over time. And that message that is being -- that is coming out of the Pentagon is also one that's been well supported by members of the Congress because it's the right thing to do for the war fighter, for -- and for the taxpayer as a whole. Our radios have been performing very, very well. They've been fielded on the battlefield, they're NSA-certified. And at the end of the day, as we said in early June and as Dan had clearly laid out, we're going to ultimately win in this space on innovation, on affordability and, importantly, speed, speed of execution. So we follow the DAB and what's been coming out of the Pentagon as very, very closely. And we respect the decision that the Undersecretary has made.
Gautam Khanna - Cowen and Company, LLC, Research Division: And just a quick follow-up on my first question, please. If you were to assume M/A-COM is a, whatever, 14% margin or something thereabouts, you still have the tactical RF business doing well north of 40% operating margins and I just -- and that's been the case for, I think, 3 quarters now. Can you comment on how you -- we should think about that level given the mix dynamics you explained for next year with DoD tactical down well in excess of what foreign is up, and will you be able to maintain those margins?
William M. Brown: Well, as -- we guided next year to margins of 30% to 31% in the RF segment and we talked at some fair detail as to how that's -- what's causing that margin to come down from where it has been this year and in the past. Part of it is mix and volume and pricing in tactical and part of it is some investments that we've made in R&D as well as in sales and marketing expenses. So Gautam, I think you're right on with tactical coming down mid- to high-single digits next year and PSPC growing, and we all know that PSPC comes in at a lower overall margin. That does sort of compress the margin expectations next year in that particular segment. But again, I come back, over the longer term, we feel good about being able to preserve our margins in both tactical and grow our margins in public safety over the long time -- over the long period. So we feel good about our prospects there, and again I think Daniel laid out his strategy for achieving that pretty clearly in early June.
Gautam Khanna - Cowen and Company, LLC, Research Division: And what do you anticipate the public safety margins should be at when you're mature on your process? Is it a 15% EBIT margin business, is it a 20% business?
William M. Brown: Well, right now, what we're focused on is making sure that we make the proper, smart investments in fiscal year '13. It will compress our margins a little bit, it won’t be down year-over-year, but be sort of consistent with where we ended at fiscal year '12, as we mix the right investments to position that business for longer-term success. Longer term, we've got lots of opportunities to drive efficiency, productivity, operational excellence throughout public safety. Dan and his team have a beat on this, they're working very, very hard on this. And that this is the margins we'll expand over time. It could be into the low teens to mid teens, but again we're focused right now on delivering fiscal year '13.
Operator: Your next question is a follow-up from the line of Joe Nadol with JPMorgan.
Joseph Nadol - JP Morgan Chase & Co, Research Division: You guys put out a press release a couple of weeks ago that you're working with the SRW waveform and evolving it. I was wondering if you could comment on that specifically, as well as what that means, if anything, for ANW2.
Daniel R. Pearson: Well, Joe, this is Dan. First of all, the SRW, what we are is the integrating service contractor, so similar to what GD does for WNW. The JTRS JPEO has picked somebody who keeps up with the waveform, keeps it enhanced and keeps it current in the library. That's our job on that particular one. SRW and ANW2 are part of a family of waveforms. SRW is at the lower -- lowest level of the echelon and ANW is higher than that, so they don't, in essence, compete with each other, so...
Joseph Nadol - JP Morgan Chase & Co, Research Division: So I shouldn't read this as you're being brought into the fold on the JTRS, waveforms, and have agreed passively to -- maybe a little bit to push your proprietary waveforms less.
Daniel R. Pearson: Well, no. I think what it means is we've always been in the -- working with the library on JTRS from day one, holding things out of the library whether it be WNW, SRW, MUOS, whatever they are, and put them on our radios. I think, as we go longer term, we're moving to a situation where we're going to continue to press the government. And with the proprietary, as you called it, ANW2, we're working actively with them to put that into the library. So there's no long-term plan on anybody's part not to have all these in the library and open sourced to everybody, all waveforms.
Operator: Your last question is a follow-up from the line of Pete Skibitski with Drexel Hamilton.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: I'm not sure who wants to speak to this, but I was interested in your comments if you thought it was significant that DoD has sort of -- seems to have disestablished the JTRS PEO or at least kind of changed the name. I don't know if that's kind of a pro forma thing or if you think there is something that could potentially benefit you to that move.
William M. Brown: I think -- Pete, this is Dan. I think what -- clearly, the clear message was that, and if you read the release, what the Undersecretary did was he said, "Okay, I'm going to give the service that has the most intra-radios control over it, " and that, basically, no shock to any of us, we don't think it changes much in what's going on. And clearly, we're going to continue to work with the army, as the new executive officer, whether it's PEO C3T or whoever it is when they get it all done. We don't think it changes much. Innovation and our agility and affordability will still win out no matter who the JPEO is.
Pamela Padgett: All right. Thank you, everyone, for joining us.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.